Operator: Welcome to the First Quarter 2006 NAVTEQ Corporation Earnings Conference Call.  My name is Bill and I will be your conference coordinator for today.  At this time all participants are in a listen only mode however we will be facilitating a question and answer session towards the end of today’s conference.  (Operator Instructions).  I will now like to turn the conference over to your host for today’s presentation Mr. Tom Fox, Director of Investor Relations.  Please precede sir.
Tom Fox: Good afternoon everyone.  This is Tom Fox, Director of Investor Relations at NAVTEQ.  And welcome to our conference call to discuss financial results for the quarter ended April 2, 2006.  With me today are Judson Green, President and Chief Executive Officer; and Dave Mullen, Executive Vice President and Chief Financial Officer. By now you should have received a copy of our earnings release, which was distributed earlier over the wire and is also available on our website.  I would like to point out that this call is available by webcast and is being recorded.  Following the call, replays will be available.  Information on the replay and the webcast is available in the release and on the investor relations section of our website at www.navteq.com. Before we begin, I would like to remind you that some of the statements made during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.  These statements are based on management’s current expectations, assumptions and projections about NAVTEQ at the time that the statements are made. The forward-looking statements are subject to certain risks and uncertainties that may cause the actual results to differ materially from our past performance and our current expectations and projections.  For a discussion of these risks and factors that may affect future performance, please review the reports filed by NAVTEQ with the SEC, in particular note the risk factors set forth under item 1A risk factors in company’s annual report on Form 10-K with the fiscal year ended December 31, 2005.  NAVTEQ disclaims any obligation to update or revise any forward-looking statements, except as required by law. We will begin today’s call with some opening remarks from Judson, then Dave will walk you through some additional details on the quarter.  Judson will add a few closing remarks and finally we’ll take your questions.  We will finish the call no later than 6 p.m. Eastern Time.  I’d now like to turn the call over to Judson.
Judson Green: Thanks, Tom.  Good afternoon, everybody, and thank you for joining us.  We are pleased to report another solid quarter for the company.  Our revenue of $122.3 million setting new record for first quarter performance and grew 17% over the prior year.  On a constant currency basis revenue grow by 23%.  The revenue increase was driven by continued growth in unit volume which was up 59% when compared to the first quarter a year ago.  Operating income was $20.7 million compared to $24.8 million in the prior year. Net income before the cumulative effect of the change in accounting principle was $15.7 million or $0.16 per diluted share.  We recognize a cumulative effect of a change in accounting principle during the quarter related to FAS 123R which we adopted on January 1.  The affects reflects adjustments made to unvested restricted stock unit grams made in prior years.  The affect yielded a first quarter benefits the net income of $500,000.  Reported net income for the quarter was $16.2 million or $0.17 per diluted share. Net cash provided by operating activities was $14.4 million for the first quarter of 2006 compared to $5.8 million in the first quarter last year.  We ended the quarter with $226 million in cash and marketable securities and no debt.  Overall our financial results were in line with our expectations.  Total revenue was on plan although came in ahead of our plan in certain areas for example portable devices in both Europe and the US.  But they are short in other areas such as the North American in-dash business.  In terms of the comparability of the first quarter of 2006 to the prior year I would like to make a few comments. First we based a significant currency head win in Q1.  The average dollar euro exchange rate in this years first quarter was approximately $1.20 compare to $1.32 in the year ago period.  The lower exchange rate reduced our revenue by $6 million and diluted EPS by $0.02 when compare to the prior year.  The $1.20 exchange rate was in line with the 2006 guidance we issued in February. Second while the surging popularity of portable devices is having a number of very favorable effects on the growth profile of our business.  It is also giving rise to more pronounced revenue seasonality.  Unlike in-dash navigation portable devices rely heavily on the holiday shopping season for their full year performance.  In 2005 the sale of maps per PND picked up in Q3 and accelerated in Q4 resulting in map business become a larger piece of our total revenue.  Thus the expected sequential decline in the portables area in this year’s first quarter had a larger impact on our overall revenue growth than it had in 2005. Third as you know the nature of map building is such that our expenses there little relationship to revenue.  And we do not see to match quarterly expense with quarterly revenue.  Thus while Q1 expenses grew significantly over the prior years first three months, they were in line with our plan.  More importantly total operating expenses actually declined sequentially from Q4 last year and even when adjusted for the differences in the number of days in the quarter total operating expenses were basically flat. The acquisitions in Korea and Mexico increased first quarter expenses by $2.4 million and as we indicated during our Q4 2005 call, we choose to invest more heavily in Q1 in certain projects and initiatives we feel were strategically important to our success, which I’ll touch on in more details in a few moments.  And finally Q1 was the first quarter to reflect the full expensing of options in accordance with FAS 123R.  Total stock-based compensation expense was $4 million in Q1, of which $2.2 million was related to stock options. As indicated in the press release European revenue from the 6% in the quarter that was up 15% on a constant currency basis and revenue for the Americas grew 34% over the prior year.  Asia Pacific revenue which is principally derived from our Korean subsidiary was $1.8 in the quarter.  This was $1.3 million lower than we had originally expected primarily due to a decision exit an unprofitable hardware related business.  I’d now like to spend a few moments talking about Q1 developments in each of the major revenue areas. Beginning, first with the European in-dash business.  Revenue for the quarter was in line with our expectations with continued growth in unit volume compared to the prior year.  Adjusted for the extra selling days and other factors overall car sales were up 1% in Q1 compare to the prior year.  The model specific trends in the quarter were also consistent with our plan.  Overall unit sales at BMW and Mercedes Benz were up but the increases were again driven by lower price models with low navigation up tick, such as the BMW 1 in 3 series and Mercedes B-class.  Sales at the Mercedes E-Class and BMW 5 series which are important models for us were down 14% and 12% respectively and were only partially offset by good unit growth for the Audi A6 and A8. Navigation type take rates continue to grow across Europe and remain robust in the luxury segments.  The dynamics with respect to portable devices were similar to the last 2 quarter; we saw a slight impact from portable devices on the median class car segment in which take rates have continued to grow but only modestly due to the relatively high price of in-dash systems.  We have not seen a significant negative revenue impact on economy class cars from portables as take rates are generally low to begin with.  However, portable devices continue to put pressure on sales of traditional in-dash aftermarket systems.  And in particular, on systems that lack a full map display which are more prevalent in Europe than North America.  Not surprisingly, we saw a double digit decline in maps for European aftermarket systems in Q1 when compared to the prior year. Turning to North America in-dash revenue, Q1 came in slightly below our plan but showed significant growth over the prior year.  US car sales rose 1% in the quarter with especially strong performance by BMW and Mercedes Benz.  However, significant portion of the industry unit volume was comprised of fleet vehicles particularly for the domestic OEMs.  Fleet vehicles generally are sold to Renault car agencies or services companies and they are almost never equipped with in-dash navigation systems.  Increases in adoption helped to sustain our growth in North America most notably navigation was offered for the first time in Q1 on the Buick Lucerne VW Golf GTI, Volvo C70 and Porsche Cayman. Navigation take rates in North America during the quarter were mixed with good performance on the part of the Japanese and the European vehicles and relatively poor uptake on a number of domestic models.  Several new and refreshed models at BMW, Mercedes Benz, Honda Acura and Toyota Lexus have maintained relatively high take rates since their introductions last year.  Meanwhile, growing dealer inventories for the domestic OEMs have caused a reduction in the number of cars shipped to dealers with in-dash systems.  The increase in fleet sales at Ford Chrysler into a lesser extent GM also put downward pressure on take rates in the quarter. With respect to portable devices, while the first quarter is not a particularly exciting sales period for the consumer electronics industry in general, mobile device revenue and unit growth exceeded our plans in both Europe and the Americas.  In Europe, Q1 volume growth was driven primarily by better than expected performance from Garmin and Sony.  Specifically, the European rollout of the new Sony Nav-U PND had better results than we had anticipated, environment shipments outpaced our forecast. Navigations for smart phones also continue to grow with new products from Route 66 launched on the Symbian platform.  We also saw a good growth in maps for portable devices in North America.  Sony launched the Nav-U and margin has begun significant advertising to support the product.  We crowned the winners of the third annual NAVTEQ global LBS challenge to standing room only crowds at the 3 GSM show in Barcelona in February and at the CTIA wireless show in Las Vegas earlier this month.  We received more than 200 applications from interested developers and had a total of 24 semifinalists on both continents.  The semifinalists were evaluated by judges that included wireless carriers, analysts from leading market research firms and other industry experts. In Europe, the grand price winner was ALK technology, whose application co-pilot live fleet center provides navigation and asset tracking functionality for the mobile workforce.  The grand price winner in North America was TerraVision with this application called WorkSpace Locator.  The application allows real-time tracking of workforce resources as well as a high quality mapping interface for Salesforce.com.  We are already looking forward to the next challenge which will kick off at the CTIA wireless show in the fall.  Also, in the internet and wireless area, momentum is beginning to build as new services were announced and launched by wireless carriers and internet portals. For example, Verizon Wireless selected NAVTEQ maps to enable all of its US location based services and launched its first application called VZ Navigator.  This service provides turn-by-turn navigation for GPS-enabled mobile phones.  The application is being provided by Networks in Motion which won the grand price at our first ever LBS Challenge. Additionally, existing services such as TeleNav and Garmin Mobile at Sprint Nextel continue to acquire subscribers.  We are seeing an increased amount of activity at the major US based internet portals.  It is clear these companies are becoming more interested in getting closer to the mobile consumer by incorporating location awareness into their services. For example, MapQuest recently announced a new application for the mobile phone called MapQuest Navigator which will use NAVTEQ data and the TeleNav applications.  The Yahoo announced the upcoming launch of its Gold Mobile Service for the mobile phones.  Gold Mobile which offers local search functionality and driving directions among other services will be available to AT&T and Cingular customers in the US and on several Nokia handsets in other countries.  And, Motorola will soon begin selling web-enabled phones that feature easy access to Google search engine by pushing a button the phone’s keypad.  We view these developments as positive for our business.  While few internet mapping services currently incorporate location awareness into their applications, we believe this is in either direction of which these customers and solutions are headed. In terms of our operating expenses, the first quarter was a significant investment period for the company.  Here are just a few areas of our focus.  First, we are emphasizing database maintenance in 2006 to an even greater extent that we did in 2005.  Update work has been concentrated in areas such as the US, France, Italy and United Kingdom.  Second, we are pursuing coverage enhancement projects to increase the breadth and depth of the road network detail in our maps, including significant efforts in parts of the US, Poland, Russia, Brazil and the Czech Republic.  Third, we continue to expand to new geographies in Eastern Europe and Southeast Asia.  And finally, we are working to increase the number of points of interest we offer, such as golf courses, parks, museums car dealers and the like and we are continuously improving the accuracy of the POI information. The projects I just mentioned and hundreds of others are typically in response to specific request from our customers.  Our investment in these efforts is designed to preserve our enhanced value and competitiveness of our database today and for many years in the future. The Q1 increase in our SG&A expense was driven by a number of factors including, first, significant growth in global sales resources particularly in the burgeoning consumer area.  Second, expansion in the Asia-Pacific region including 4 new offices and more than 70 new employees, most of whom are part of the Korean operations we acquired in July of last year, third, additional trade show activity including, the first ever European leg of the NAVTEQ global LBS Challenge and an expanded presence of key industry events, and finally, the adoption of FAS 123R which I mentioned earlier. Turning to product news, we have released 4 new countries this year, Albania, Macedonia, Bosnia Herzegovina, and Serbia Montenegro.  Since January 2005, we have added 11 Eastern European countries to our coverage which now stands to 57 countries and territories around the world.  We also achieved full detailed coverage for the entire Iberian Peninsula in Q1 which represented a major effort for our field teams.  Full detailed coverage represents the collections of all of the road attributes that help optimize navigation including, street names addresses, access restrictions, one-way streets and speed categories.  Our coverage for Spain and Portugal now covers over 900,000 kilometers of roads.  In the area of dynamic content, it was announced recently the new vehicle models would offer our real-time traffic data later this year.  The Acura RDX, Infiniti G35 and the Lexus LS will offer XM NavTraffic in the 2007 model year.  This is an important milestone in the development of our dynamic content business and the signal of growing interest in the part of OEMs and consumers alike. Our real-time traffic coverage now stands at 42 metropolitan areas in the US, up from 32 at the end of last quarter.  New coverage areas include Las Vegas, Buffalo and Houston.  We also announced the availability of NAVTEQ traffic RDS with CBS radio stations across the United States.  Using RDS, traffic data is broadcast over the terrestrial radio infrastructure to devices that have been specially equipped to receive and interpret the data feed.  This important new relationship immediately creates another distribution mechanism for transmitting NAVTEQ traffic data to vehicle navigation systems and portable navigation devices.  The availability of traffic RDS should accelerate the deployment of real-time traffic services in the coming years by giving our customers more data delivery options. I would now like to turn the call over to Dave, who will review some of the first quarter numbers in more detail.
David Mullen: Thanks, Judson.  I’ll try to provide some additional color on our results.  As I do that, please note for comparison purposes that our fiscal first quarter had 92 days compared to 86 days in last year’s first quarter and 97 days in Q4 2005. On the revenue side, media revenue represented approximately 89% of our revenue in the first quarter with unit volume up 59% over the prior year.  In-dash map units rose 13% compared to the same quarter year ago, while portable device map units grew over a 150%.  Distribution business made up approximately 19% of our total revenue.  This percentage is likely to continue to trend downward in the future, as non-vehicle revenue becomes a bigger piece of our business, and hard-disk drive navigation systems are introduced on more vehicle models over the next few years.  We perform distribution services on 47% of our in-dash volume which was flat with the prior year.  The mix of distribution units in Europe was 70% which was down slightly from the prior year and the mix in North America was 18% which was higher than in the year ago period. As we did last quarter, we calculate the change in the license fees paid to us from the first quarter of last year to the first quarter of this year by each of our top 10 customers, who together represent about two thirds of our revenue.  On their most popular NAVTEQ map product in Europe and the Americas.  This percentage change reflects base license fee reductions as well as volume discounts and other considerations.  For the first quarter of 2006, license fees at our top 10 customers decreased by an average of approximately 7% compared to last year’s first quarter. As a result of a corporate reorganization that took place in January, we conducted a review of our expense classifications in order to better align our external reporting with the nature of our spending.  As a result, certain functional groups previously captured in our SG&A expense line are moved into database creation and distribution cost.  These groups began as relatively small parts of our sales and marketing organization but have grown larger and in our view are now more closely related to the database creation and distribution activity.  We have reclassified expenses in prior years to confirm to this presentation.  With respect to the expenses themselves, database creation and distribution costs were up 24% over the year ago period.  The increase was primarily driven by the investments in the database that Judson described and growth in distribution unit volumes. Consistent with what we said in our last conference call, we expect these investments to be less weighted toward the back-half of the year than they have been in prior years.  Distribution related in other direct cost represented approximately 20% of total company wide expenses.  Selling, general and administrative expenses grew 34% in the quarter compared to the year ago period.  The year-over-year growth rate was higher than it has been historically as a result of the projects and initiatives Judson described, six additional days compared to Q1 of 2005 and higher stock-based compensation expense most of which hits the SG&A expense line. Note that excluding the impact stock options expense, SG&A expense was flat compared to the fourth quarter of 2005.  And up only slightly over Q4 when adjusted for differences in the number of days in the quarter.  Our operating margins that quarter was 17% compared to the 24% margin in the year ago quarter.  As revenue seasonality becomes more pronounced there will likely be even less correlation between our quarterly revenue and expenses and therefore more variability in our quarterly operating margins. With that, I’d like to turn it back over to Judson to finish it up.
Judson Green: Thanks Dave.  I would like to wrap up the call this afternoon by offering the few comments on the business.  Directionally, we feel very good about the state of the market for navigation and location based solutions and we are excited about the opportunities we see for the company.  In terms of in-dash navigation, it is difficult for us to asses what impact, if any growing dealer, vehicle inventories, higher gas prices and raising interest rates may have on navigation unit sales for the balance of the year.  Nevertheless, we are pleased with the fact that in-dash penetration rates continue to climb on both contents which boards well for the future. As I mentioned in my opening remarks, the complexion of our business is certainly changing with the rapid growth of mobile navigation devices.  Our first quarter results signaled the emergence of a most significant seasonal pattern in our revenue and perhaps more than ever before the fourth quarter is expected to be a critical driver of revenue and profitability.  Our Q1 results to some extent are a reflection of our business model.  Namely, the nature of map building is such that our expenses which are highly discretionary they’re little relationship to revenue and we do not seek to match quarterly expenses with quarterly revenues.  We are building a business for long-term success and our decision-making with respect to reinvestment will continue to reflect that perspective. This concludes our prepared remarks.  So thank you for your attention.  Now, I would like to ask the operator to open the line so that we might answer your questions.
Operator: Thank you very much sir.  (Operation Instructions).  And our first question comes from the line of Mr. Greg Cappelli.  Please proceed sir.
Greg Cappelli: Hi guys this is Greg for Brandon.
Judson Green: Hi.
Greg Cappelli: Let’s see, three quick questions.  The first one, Judson you talked about the specific request of customers make it for you to, to continue enhance the database obviously, is that with the amount of investment that you’re making, you guys use to talk about, putting $0.60 for the $1 back into that database, is that, is that continue to be the, the trend?  And then secondly, with those investments is that, do you expect that to help you hold the line when it comes to price a little bit more going forward?
Judson Green: Well, to the second piece we absolutely do think that reinvesting and the database and reacting to the numerous requests, quite numerous requests to continue to add different kinds of content coverage geographies et cetera, is a factor in our pricing strategy.  So, yes, that’s one of the several reasons why we are doing that, I don’t think we have changed our perspective on our reinvestments in terms of what our, what our goals are and in fact, we think this is the right strategy for the long-term success for the business.
Greg Cappelli: Okay that’s helpful.  And then just with the, with the seasonality impact that you talked about sequentially should we see 2Q, from a PND perspective continue to, to likely be, I mean, you’re expecting some pickup there sequentially or is it just more third and fourth quarter now loaded form the PND perspective?  And I guess the business overall as well, because it seems like in-dash, might be a little bit more seasonal as well towards the backup and it use to be?
David Mullen: I don’t think that we have seen a different pattern in in-dash seasonality than we’ve seen historically, of course, we have only finished the first quarter but, but we don’t see any reasons why that aspect of the business to change with respect, we really, our policy is not to comment on a quarterly basis on expenses, I think you could take from our comments that we made on our last call and the comments we made today that investments in the database are probably, this year, are probably more front-end loaded than they have been in past years.
Greg Cappelli: Okay.  I was actually talking about the seasonal, from a seasonal perspective, in terms of 1Q going into 2Q, just from a PND perspective?  Any sense on, on, do you expect this to be sort of a steady progression upward throughout the year?  Or do you expect 1Q and 2Q from the seasonal perspective to be similar and then start to see the increases in 3Q, 3Q and 4Q for the PND business?
Judson Green: Yeah I, we understand your question it’s a good one but its, its hard for us to be more specific as this has let space at a rather new phenomenon in terms of this tremendous growths in PND I mean, I still think we believe the fundamental, the biggest driver in the PNDs will be in anticipation of the holiday period.  So we are talking about, Q3 and particularly into Q4.  So it’s hard for us to predict with anymore accuracy what the other, where the other quarters would fall out.
Greg Cappelli: Okay fair enough, final question just, that the loss in market share the majority took on, give me just, how did that impact you and obviously Garmin got some of that and TomTom but maybe just your quick thoughts on that?
David Mullen: I think that, what we said was, what we did in the portable business was consistent with our expectations.  So, I don’t know that we felt a particular impact from that particular customer.
Greg Cappelli: Okay thanks a lot.
David Mullen: Thanks.
Operator: Thank you very much sir.  (Operator instructions).  Our next question comes from the line of Jay Vleeschhouwer of Merrill Lynch.  Please proceed.
Jay Vleeschhouwer: Thanks, Judson, Dave can you comment a bit more on pricing of PND segment itself and has between auto versus PND.  Are you continuing to see a range of pricing across the range of functionality?  In other words, you get what you pay for pricing still applies as far as the math databases are concerned.  And then secondly, in terms of designing activity, so a quite a full operation of product in 2005, in terms of ’06 and perhaps even ’07 device outlook.  Do you expect that OEM activity will remain, well active, as we saw last year?
Judson Green: Well I would say first of all the range of pricing continues to be the function of several variables as we pointed out before.  And as we see new players come into the market, the beginning conversations have to be, what are they trying to accomplish?  What functionality do they want to put in?  So, there is a lot of activity and lot of variation and diversity, if you will, in those products.  So we don’t, we continue to believe that price range that you refer to is what we are seeing, that’s what we are seeing now, what we expect to see.  With respect to the amount of activity you are correct there has been, there’s actually been some new activity both for vehicles and PNDs but clearly there are a number of new players that have come in on the PND space and we understand a number of more considering coming in.  So we would expect that there would be some new players that popup in ’06 and probably for that matter in ’07, I think that’s just a natural evolution of this kind of market that’s taking off when you get some consumer acceptance that we’ve gotten, this is what you see.
Jay Vleeschhouwer: Judson at the PA analyst meeting they made an interesting technical comment comparing their database to your specifically, with respect to new third party mapping and there will be S-type applications, they are suggesting that there are an increasingly important differences in terms, let’s say, the openness or programmability of the databases one versus the other, which is going to become especially important as we see wireless and other type applications come along.  That’s a bit of a technical question but, do you see this in fact becoming a competitive issue?
Judson Green: Well, to be clear I am not familiar with the comment and I am not quite sure I understand that, I think our, I can’t comment on their database, I can comment on ours that we are continuing to add many different dimensions to our database in response to what we hear from our customers and in anticipation of what we think the market is going to won.  So, I am really not in a position to make comments about theirs versus ours.
Jay Vleeschhouwer: Okay, thank you.
Operator: Thank you very much sir.  Ladies and gentlemen your next question comes from the line Peter Friedland of Soleil Group.  Please proceed.
Peter Friedland: Hi guys, just wanted to be clear, did you guys update guidance for 2006 full year?
David Mullen: No.  It’s not our policy to do that.
Peter Friedland: Okay so, based on your note and comments, should we assume that you are reaffirming or, any kind of…
Judson Green: It’s, we issue guidance once a year, at the beginning of the year.  We do not undertake to update that guidance unless we believe that our actual results would differ materially from that guidance.
Peter Friedland: Okay, I will stick to the one question.
Operator: Thank you again sir.  Ladies and gentlemen your next question comes from the line of Bill Benton of William Blair.  Please proceed.
Bill Benton: Good afternoon guys, I got one really cheap one, so if I could squeeze one in here, if you could just give us the stock comp maybe in terms of where that showing up by line.  And then, the real question is there maybe a follow on to that, that last question, I mean obviously you guys have a good visibility to the number of new players coming into the market in price points.  And you can make assumptions by the necessity; you’ve seen kind of what happened in the first quarter on North American and European auto sales.  Can you just guide us one way or the other in terms of your confidence level with regard to your prior forecast on the doubling in PND volumes went on?
David Mullen: I think that, but first of all, with respect to stock-based comp, I think the total stock-based comp was $4.4 million, $3.2 million that was in the SG&A lines.
Bill Benton: Okay.  And the rest we can assume database vise total stock, stock comp.
David Mullen: Excuse me, 4.0 was the total stock comp.
Bill Benton: Okay.
David Mullen: And with respect to confidence, all I would say is we remain optimistic about the prospects for the portable device market.  I think you could, you could, the companies that participate in that space have reported recently, and I think that their expectation for the market were consistent with ours when we gave guidance in February.
Bill Benton: Okay, okay good day thanks.
Operator: Thank you very much sir.  Ladies and gentlemen your next question comes from the line of Maynard Um of UBS, please proceed.
Maynard Um: Hi thank you.  I think, I actually, I miss that last part, I think you talked about some of your piers, they said they were looking for a sequential update by about roughly 10% of ahead of the summer vacations, and I think you just said that, that was kind of consistent with your expectation?
David Mullen: No I, I was actually referring to the fact that TomTom, yesterday in there release talked about their thoughts about 2006 versus 2005 and their thoughts where consistent with what we have shared with you in February.
Maynard Um: Okay.  Any comment on the, on the 10% sequential growth to their comment?
Judson Green: No.
Maynard Um: Okay and then lastly in your discussions with some of the in-dash suppliers in your customers, do you see any indications of a price decline expectation setting in to the back half or can you just update your expectation on that?
Judson Green: You are talking about the, the price the retail price of in-dash systems?
Maynard Um: Correct.
Judson Green: You know, I think we’ve said before, and I think we still believe this, that, that we’ve been disappointed that the prices have not come down.  We think they’re, I think we’ve said before that, as it takes longer for changes to occur in the vehicle world, there, there is a possibility that there would be some movement in the ‘07, ‘08 timeframe.  But, I would not say that there would be in the 06’ factor.
David Mullen: Next question please.
Operator: Thank you very much sir.  Ladies and gentlemen your next question comes from the line of Brett Manderfeld of Piper Jaffray.  Please proceed.
Brett Manderfeld: Thanks.  I had a couple of points of clarification, Judson I just want to make sure looking at this correctly, but did you say European growth in the in-dash unit volume was up 1% year-over-year?
David Mullen: No he said Brett, that car sales, overall car sales in the Europe were up 1%.
Brett Manderfeld: Okay, did you comment on the units at all?
David Mullen: Only on an overall basis.
Brett Manderfeld: Okay.
David Mullen: Overall units were up 59% which has been our practice historically.
Brett Manderfeld: Okay.  And, taking away just a, it sounded North America and the in-dash below short was, was that primarily because of fleet vehicle sales is that, is that what, is that what I heard?
Judson Green: Yeah that’s correct.
Brett Manderfeld: Okay great.  And then, my one question I guess is, related to the PND sales, referred from some other industry participants that Q1, was only downs slightly versus Q4 overall in Europe.  Is that pretty consistent in terms units what you saw Q1 versus Q4?
Judson Green: Actually, we saw bigger falloff in that.
Brett Manderfeld: So, any kind of between, down more than say 25% or 30% sales?
David Mullen: We saw a bigger falloff.
Brett Manderfeld: Bigger falloff.
David Mullen: Right.
Brett Manderfeld: Okay.  Thank you very much.
Operator: Thank you very much sir.  Ladies and gentlemen your next question comes from the line of Noelle Swatland, Lehman Brothers please proceed.
Noelle Swatland: Hi guys, I just had a one follow up question also around the inbuilt PND, excuse me inbuilt market in Europe this quarter.  After a fairly soft period last quarter is it fair to assume that this quarter, we could have seen maybe flattish to down slightly mid-single digits?  And then my question just relates actually to some of your full year OpEx numbers, I was wondering if you could remind us within your longer term target for OpEx of 15% to 20% year-over-year sort of what that assumes and some of the comments that I have seen to suggest with your increase focuses here on some of your maintenance that actually we could see numbers trend maybe a little bit above the longer term goal this year?  Thanks.
David Mullen: No.  I wonder if I could ask you to just, may, I’m not sure I understood that the last part of the question.  Could you just repeat it?
Noelle Swatland: Yeah just on your longer term I think you have said that we should expect you’re operating expenses to trend up about 15% to 20% year-over-year.  It would seem as though some of comments you made on the call today with regard to this increase focuses here specifically with respective maintenance investment may suggest that we could be at the upper end or certainly above that longer term target?  And just can you remind us within some of that normal longer term targeted range of 15% to 20%?
David Mullen: I don’t think we are in a position to update that and I don’t think that I would not necessarily draw any conclusions from our first quarter spending relative to our long-term plans because I don’t think that they fundamentally changed.
Operator: Thank you very much ma’am.  Ladies and gentlemen your next question comes from the line of Steve Connick (ph) of Jefferies & Company.  Please proceed.
Steve: Hi thank you congratulations on your quarter and then particularly your PND volume growth.  Well, I’d like to understand, if you could comment on the pricing trends.  Can you make any generalizations about the pricing trends in PND versus in vehicle hoping that’s to break down little bit, little color on the 7% overall reduction that you saw?
Judson Green: The 7% is develop from a market basket of our customers, of our largest customers some of whom are for portables, some of whom offer in-dash and some of whom offer both.  So I think it is representative overall pricing trends, I don’t think that there is anything happening in either one of those sectors that would be, that is particularly variant from that.
Steve: Okay great thanks.  And if may, have just a real quick one on European in vehicle growth which was a little lower this quarter than usual.  Do you expect that, should we expect to see that start to pick up again as we get through the rest of ’06 or, we’ve looking at kind of continued levels of this somehow?
Judson Green: You mean relative to the prior year?
Steve: That’s right yes.
David Mullen: You know for the reason we are hesitating is why that depends on what happens to the economy and, what happens to car sales that’s a big driver of Europe and of the US frankly.  I don’t think we can share any additional light on it.
Steve: Okay thank you very much.
Operator: Thank you very much sir, ladies and gentlemen your next question comes from the line of Ben Radinsky of Bear Stearns.
Ben Radinsky: One very quick one, just a housekeeping question based upon your earlier guidance you had mentioned that a long-term target was expanding operating margins by about 200 basis point here.  And I was wondering if you are sticking to that?  And then the second more broad question with the rise of the internet portals and they are focusing on location based technologies, I was wondering if you could update us on the economic of your contracts with the various portals?
David Mullen: First on the long-term operating margins target question, we’ve been pretty consistent, I think over the past, several quarters and saying that we expect longer term to expand our operating margin by a 100 to 200 basis points on an annual basis.
Ben Radinsky: And that so you’re reiterating that?
David Mullen: I am just telling what we said over the past, several quarters.
Ben Radinsky: Great and that has, that’s unchanged this quarter.  Given what you know now.
Tom Fox: Hi Ben, either David, Judson certainly are not, we’re not, we’re not in a position right now, at this point to comment on our guidance in any specific way.
Ben Radinsky: Okay and then the second question?
David Mullen: With respect to the internet portals, that falls under our server pricing and in general those entities, license are mapped by paying us typically a minimum annual license fees subscription basis with the transaction kicker, the transaction kicker basically is different for B2B transaction, and a B2C transaction.  But generally all of them are under that kind of a structure.
Ben Radinsky: So is there any change in the economics given the rise of popularity of, of these types of services?
David Mullen: Well I would, I would point to the fact that in 2004 our revenue from Internet portals was 3% of our total revenue, in 2005 it was 5% of our revenues and I think we would expect that continue to rise.
Ben Radinsky: Thank you very much.
Operator: Thank you very much sir.  Ladies and gentleman your next question comes from the line of April Horace of Hoefer & Arnett.  Please proceed.
April Horace: Hi good afternoon.  Well, I want to congratulate you on the CBS contract.  I was wondering if you would give us some little bit more color as it relates to real-time passive services, what would be entailed with respect to a vehicle, receiving such services with respect to internet as it requires HD radio and how can we think about that particular new service going forward?
David Mullen: The service that we’re providing is identical to the service that we provide through the satellite radio companies, this one will not require a satellite radio you can, you can simply have a digital radio with an RDS receiver which is typically have the FM radio.  So the typical high-end radios in cars are equipped today as I understand it.  So it enables some of the companies, who have not made as bigger play in satellite radio to offer traffic to their customers with, in an absence of basic radio with an RDS receiver in it.
April Horace: And then a quick follow up different topic.  It seems like you’re reaffirming your guidance which I think is great.  So can we infer from you reaffirming your revenue guidance and your EPS guidance?  Is there any short fall in in-dash OEM revenue that you internally expected could be offset by the growth of the PND?
Judson Green: Just, I think we have to, to correct what you said, we’re not reaffirming or reiterating what we, what we said was that we have a policy of issuing annual guidance at the beginning of each year during the Q4 earnings report.  If we feel with the reasonable degree of confidence that changes in our business will result and financial performance that is materially different from the guidance we have provided then it’s our intention to update that guidance in the form of the press release.  So we’re hearing to the policy that we very clear, clearly laid out.  So I would just say that we are not technically reaffirming our guidance.
April Horace: Okay thanks.
Judson Green: In accordance with our policy.
Operator: Thank you very much ma’am.  Ladies and gentleman your next question comes from the line of Jeetil Patel of Deutsche Bank.  Please proceed.
Jeetil Patel: Yes, thank you for the Q&A today.  Couple of questions.  Can you just give us a sense of, I guess when you said your guidance for last quarter, just can you remind us what you thought your auto unit growth would look like, would it be flat, up or down in 2006 and is it, and if you look at the PND business sequentially from Q4 to Q1 they look like the units were down about 50%, can you give us a sense of how the relative strength was for the US market versus the European market.  Thank you.
David Mullen: First of all, we don’t, we don’t provide that kind of granularity as a general rule, I can tell you that both markets are growing at least Q1 over Q1, when you take the seasonality, Q4 to Q1 is not an appropriate comparison and for that reason we don’t do it.  But both markets are growing in the PND market, there should be no surprises growing faster than the automobile market.
Jeetil Patel: And just if you look at the PND business, it is a little bit of a backend loaded type of business, given that that it’s a, kind of seasonal play into the second half, can you I guess, talk about, at what time of the year you start to get some visibility from an order standpoint, you tend to work with the PND vendors, their last, or probably on the year or kind of, is that some more, ad-hoc process as you approach, let’s say, beginning of Q3?
Judson Green: We understand why you’re asking that question but again, we can’t be more specific, it’s not as if we’ve had experienced for the last 10 years with PNDs and their popularity in the consumer market.  So, I have the feeling that, each year we’re going to see continued evolution, we don’t know how far this is going to go, we don’t know many players, we don’t know the specifics, we haven’t had enough history up to give you a better more granular answer about exactly when in the quarter it starts to take off and what the quarter-over-quarter sequential growth is.  Perhaps, in the future, we’ll have more experience on our built, but we understand why you are asking the question but we just don’t have the experience or the data to answer it.
Jeetil Patel: Just, I mean, understandable, plus, I guess I’m really just trying to figure out how you came up with the assumption of how PND market does this year, and kind of built up the model as you go back, to last quarter and you give our guidance for the year?  Thanks.
David Mullen: Well, let’s separate the quarter from the annual, because the only guidance we gave was annual and the way we build up mouse by asking our customers what they think they’re going to do in the course of the year.  And we get an idea of how the market’s going to grow.  All I can tell you historically is that last year our PND volume grew every quarter.  Now, how much of that was growth from new business and how much of them was seasonality, we can’t say for sure, we don’t have years and years of experience in this particular sector, last year was the first time, it was really a significant portion of our revenues.  So, you are, you’re likely to get a better information on the seasonality of the business from consumer electronics companies who have a ton more experience in this sector.
Operator: Thank you very much sir, ladies and gentlemen your next question comes from the line of John Bucher, Harris Nesbitt.  Please proceed.
John Bucher: Thank you.  As you categorize revenues in your 10-K, is in the mobile devices you got both PND as well as mobile contribution understandably now, the mobile handset based contribution is relatively small piece of the business.  But as a curious ramp up, their promotions, what should we expect in the revenue models and then changes to margins, as within the mobile devices category, the revenue attributable to mobile handset based things, whether it’s a subscription model or a transaction model, I realize that you don’t have a crystal ball there, but as you can comment, generally speaking what impact we might see on margins?
Judson Green: I don’t think the margins have or significantly impacted, when we sell additional maps or we sell additional transactions, there aren’t really cost associated with those, from our standpoint.  The pricing, it’s a different kind of pricing model obviously, its more again to the internet model and the server type model than it is to our traditional media pricing and its how much revenue we generate from there is really a product of how quickly and how aggressively the wireless carriers and the wireless players roll it out.  And how much marketing dollars and marketing muscle they put into it and that’s uncertain to us today, I think that we don’t expect it to be a major portion of our revenue this year.
John Bucher: Do you think you can see growth in that mobile handset based contribution, do you think you can see growth in that without cannibalizing the PND category?  Thank you.
Judson Green: It’s hard for us to tell right now.  I guess, I would just comment that, we think there’s going to be a multitude of devices that are going to be GPS-enabled or hooked up to GPS or to hooked up to a server where solutions can be provided.  At this point its, because its such a nascent market, we don’t know what consumer behaviors will be and we don’t know if there will be a preponderance of consumers who only have one device or wind up having multiple devices.  And so at this point its, its just impossible for us to predict how 5 years exactly how the mobile device part of the navigation market will evolve, we are excited about it, we think the opportunity is great.  But it’s just, it’s just impossible for us to be more specific about how exactly that’s going to turn out.
John Bucher: Point taken.  Thank you very much.
Operator: Thank you very much sir.  Ladies and gentlemen our next question comes from the line of Robert Luigi (ph) of Aragon Capital, I am sorry Aragon Global.  Please proceed.
Robert: Hi there, 2 very simple number’s questions.  Can you give us any numbers on adoption or take rates.  And second is what cost the share count to go down?
Judson Green: I think, let’s see, share count go down.  That could be the price of the stock, what else, I don’t think the share count went down, that’s why I am stapled by the question.
Robert: Okay.  If so, my mistake.  I will follow up…
David Mullen: The diluted, the diluted shares in the first quarter were 95.5 million and in the fourth quarter they were 94.9.
Robert: Okay.  Sorry my mistake, and on adoption take rate?
Judson Green: We don’t typically get into quarterly details on adoption take rates, other metrics we typically talk about in an annual basis.
Robert: Okay thanks, I am hopeful to.
Operator: Thank you very much sir.  Ladies and gentlemen your next question comes from the line of Brad Lundy of Ivory Capital.  Please proceed.
Brad Lundy: Thank you.  Just a quick question of clarification, you mentioned earlier in the call that you thought TomTom’s guidance with regards to the business in ’06 was somewhat consistent, I am curious whether you referring to overall Europe unit numbers or their implied market share based on their units as a percentage of those units?
David Mullen: What I, what, my understanding is that they talked about, what they thought the market would do in Europe, well in both markets.  But, but they, I think that, that, what I could say is they expect the market to be substantially, excuse me, they expect the demand for their products to be substantially higher than last year.  And, that was what, that was what we felt was going to happen, when we, when we did our guidance in February.
Brad Lundy: Okay, okay got you.  And then just quickly, did you guys gave the unit sequential change from Q4 to Q1 for the PND business?
David Mullen: We did not.
Brad Lundy: You did not, it was just a year-over-year interrupt?
David Mullen: That’s very correct.
Brad Lundy: Okay.  And if you don’t mind, what was the, it was 150% or something?
David Mullen: We did over 150%.
Brad Lundy: Over 150, okay got you.  And then just lastly what is your material, materiality threshold, with respect to guidance at one point?
David Mullen: That’s a hypothetical question.
Brad Lundy: I think I don’t?
David Mullen: And well, well I appreciate you are asking.
Brad Lundy: Okay.  Thanks guys.
Operator: Thank you very much sir.  Ladies and gentlemen your next question comes from the line of Godfrey Thiel of Thiel Capital.  Please…
Godfrey Thiel: Hi guys another number’s question, just wanted to get some clarity on the tax rate going forward, I think you guys have guided it 30, 40, 33 to 34 I think at the end of 2005, actually it maybe little lower than the quarter maybe you can explain that, can we see thoughts were going forward?
David Mullen: Again I would point to the policy that Judson, just talked about, something that differs materially from the guidance that we provided, we feel an obligation update.
Godfrey Thiel: Okay thanks.
Operator: Thank you very much sir.  And that concludes our Q&A session for today.  I’d like to turn the call back over to our speaker for any closing remarks they may have.
David Mullen: Thanks everyone for joining us, we appreciate it, good night.
Judson Green: Thank you.
David Mullen: Good nigh, good night.
Operator: Thank you very much sir.  And thank you ladies and gentlemen for your participation in today’s conference call.  This concludes the presentation and you may now disconnect.  Have a good day.